Operator: Good day, ladies and gentlemen, and welcome to The Hanover Insurance Group Fourth Quarter Conference Call. My name is Mark and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to host for today, Oksana Lukasheva, Vice President of Investor Relations. Please proceed.
Oksana Lukasheva: Thank you, operator. Good morning and thank you for joining us for our fourth quarter conference call. We will begin today’s call with prepared remarks from Joe Zubretsky, our President and Chief Executive Officer; and Chief Financial Officer, Jeff Farber. Available to answer your questions after our prepared remarks are Dick Lavey, President, of Personal Lines, Jack Roche, President of Commercial lines and Johan Slabbert, Chief Executive Officer of Chaucer. Before I turn the call over to Joe, let me note that our earnings press release, financial supplement, and a complete slide presentation for today’s call are available in the Investors section of our website at www.hanover.com. After the presentation, we will answer questions in the Q&A session. Our prepared remarks and responses to your questions today, other than statements of historical fact, include forward-looking statements. There are certain factors that could cause actual results to differ materially from those anticipated by this press release, slide presentation, and conference call. We caution you with respect to reliance on forward-looking statements, and in this respect refer you to the forward-looking statement section in our press release, slide two of the presentation deck, and our filings with the SEC. Today’s discussion will also reference certain non-GAAP financial measures, such as operating income and accident year loss and combined ratios excluding fourth quarter and full year domestic development and catastrophes among others. A reconciliation of these non-GAAP financial measures to the closest GAAP measure on a historical basis can be found in the press release, the slide presentation, or the financial supplement, which are posted on our website, as I mentioned earlier. With those comments, I will turn the call over to Joe.
Joe Zubretsky: Thank you, Oksana. Welcome everyone to our fourth quarter earnings call. Today, I will discuss overall results and our business performance, Jeff will cover financial details and an in-depth discussion of the results of our annual reserve analysis, and then I will provide some framing statements about our upcoming investor day before opening the line for your questions. In the quarter, we had an after tax operating loss of $19.7 million or $0.46 per share and a consolidated combined ratio of 107.7%. For the year, we earned operating income of $184.4 million or $4.27 per fully diluted share and produced a consolidated combined ratio of 98.6%, generating an operating return on equity of 7%. Our results were significantly impacted by the $174 million domestic reserve charge we recorded in the fourth quarter for prior year reserve development, the outcome of our annual loss reserve review. This, combined with some less significant prior year development in each of the first three quarters of the year resulted in domestic prior year development of $235.6 million for the full year. Excluding the domestic prior-year development, operating earnings after tax for the quarter were $94.3 million, an increase of 6.8% from $88.3 million a year ago. For the full year, excluding the domestic prior year development, operating earnings after tax were $337.5 million, an increase of 13.7% from $296.8 million in 2015. This comparison, which includes favourable reserve development at Chaucer, is a more meaningful portrayal of the current business trends and the continued improvements we have made to our business mix and under writing and pricing discipline. Chaucer’s favourable development has historically been stable and more consistent. I will first provide my perspective on our reserve position and then discuss our operating performance excluding the impact of domestic prior year reserve development. We completed our annual in-depth reserve review led by our new CFO Jeff Farber, and our Chief Actuary, Rick Burt, who joined our team a year ago. The review included an intensive actuarial analysis, evaluation of the underlying profile of the various businesses, the strength of underlying case reserves, and many other considerations, including independent reviews by third parties. As a result, we concluded that it was appropriate to add $174 million to our domestic 2015 and prior reserve balances to reflect our best estimates by line of business. We did not make any material changes to Chaucer reserve levels or its reserving methodology. Chaucer has continued its process of setting appropriately conservative loss estimates for the current acts in the year, given the natural lag in claims reporting in the excess layers and the complex nature of the coverages it writes. As reported, Chaucer continued to have significant favourable development in 2016. The net unfavourable development in our domestic business in recent quarters strongly suggested that trends were emerging that were not recognized in prior estimates. We increased ultimate loss estimates based on our current view of historical and emerging development patterns along with industry and economic data giving more weight to a recently observed increase in severity in certain lines. We also adjusted reserves among business lines to result in a best estimate by line of business to ensure our clear view of loss cost trends, which ultimately inform our pricing decisions. Additionally, we completed several business reviews in the affected lines to help us understand the sources of the increased loss costs and to inform our view of the quality of our current book of business. These reviews confirmed our belief that the vast majority of reserve additions relate to business issues the company had successfully addressed in the recent past. This gives us increased confidence in the profitability of our current business portfolio and the resulting current accident year loss ratios. A significant amount of the total charge emerged from our speciality business segment, specifically in the program business, and the contract surety business. We strengthened our reserves for the AIX program business by approximately $50 million in the quarter to address the challenging run off of older terminated programs and substantially modified ongoing programs. We believe that the emerging loss experience, mostly related to general liability coverages was not systemic, but rather idiosyncratic to the specific programs written. Many of these programs were poorly underwritten with unproven distribution partners and significantly underpriced. Our ongoing program portfolio is producing much improved returns showing no signs of profit deterioration and continues to be an important contributor to our specialty offerings. We are confident that our recent accident year loss ratios achieved target profit and reflect our current view of the business. We strengthened reserves in our contract surety business by $38 million in the quarter. During 2014 and 2015, Surety bonds were written on smaller, less financially stable contractors. Slow government payers, financial stress of a slow economy, and the frailty of these contractors have caused contract defaults and prompted us to take a much more pessimistic view of the losses expected to emerge from this portfolio. We performed an intense credit review of each surety bond in each contractor. We concluded that certain advances made to contractors under the terms of the surety contracts would not be recovered. In certain accounts on the watchlist warranted case or IBNR reserves. We are also determined that the remaining portfolio of accounts required additional IBNR due to an increase to an assumed default rate. We believe our reserves reflect a confident best estimate. New leadership has implemented stricter underwriting guidelines and taking other appropriate actions. We are now targeting higher-quality, more financially stable accounts for our products in specific geographies and through agents that specialize in this business. The remaining components of the reserve charge primarily related to the previously reported pressure, and the liability coverages in commercial multi peril and commercial auto. These were partially offset by a reserve release in worker's compensation and the net effect of rebalancing each line of business to best estimate levels. These reserve adjustments significantly increase our confidence in the quality of our balance sheet. When we look through to the underlying performance metrics, the company produced solid results for the quarter and the full year. In personal lines, the full year 2016 combined ratio of 92% excluding prior year development represents an improvement of 3.6 points over 2015. This improvement was driven primarily by lower catastrophe and non-catastrophe weather losses in the homeowners line. Personal auto underwriting performance remained stable year-over-year as increased severity and physical damage and to a lesser extent bodily injury were offset by earned weight increases. The growth in personal lines net premiums written are 5.2% in the year is attributed to rate increases, higher new business momentum from our account based platinum product, and improved retention. Policies in force grew approximately one point year-over-year. This marks our first reported annual TIF [ph] growth since we began to execute targeting exposure and profit improvement actions in 2011. Account business is now 83% of our total book and 89% of new business. Our commitment to being a bundled account provider continues to produce stronger customer retention and ultimately higher customer lifetime value. Following the successful platinum launch in our existing states, we entered Pennsylvania in December, introducing our new agency coding and service platform which we plan to roll out across our footprint overtime. This is our first step in delivering technology and product capabilities to target the emerging affluent market, which totals $5 billion to $8 billion in our current 18 state agency footprint. With respect to commercial lines, full year 2016 accident year combined ratio of 95.5% was an improvement of 2.9 points over 2015. This improvement was driven by lower catastrophe losses, improved accident year loss experience in most businesses as well as a slightly lower expense ratio as we achieved some expense leverage due to growth. The 3.5% full year growth in net premiums written largely reflects the impact of price increases which are tracking slightly below our long-term loss cost assumptions, improved retention and modest new business gains. This core growth was somewhat offset by lower premiums at AIX and surety due to the account culling we previously described and prudent underwriting adjustments and pricing decisions. We will continue to leverage our business insurance and speciality capabilities to achieve greater agency penetration using our deep agency inside tools and business consolidation expertise. We also will seek to further expand our offerings through industry segmentation and specialty product inflation to capture a larger share of agency control business for profitable growth. At Chaucer, we continue to effectively leverage our lead market positions and underwriting expertise delivering a strong result and a challenging global environment with a combined ratio of 90.4% in 2016 compared to 87.5% in 2015. 2016 was characterized by the non-catastrophe losses, but was partially offset by elevated large manmade losses, experienced throughout the year. We expect this type of volatility from time to time given the nature of the business. As expected, challenging market conditions placed pressure on the top line, excluding the sale of U.K. motor business in 2015, net premiums written decreased 9.1% for the full year of 2061 while gross written premiums only decreased by 2.4%. Maintaining gross written premium is important for our overall leadership position in the market, as we are able to satisfy our clients and brokerage coverage needs. We continue to use reinsurance more actively and opportunistically in 2016, while limiting our risk appetite in classes associated with low margins and heightened competition, notably within energy and certain marine and aviation classes. Our new business initiatives in 2016 including our direct accident and help team in London and our partnership with AXA in Africa helped to replace the business that would be no longer right profitably. We will continue to leverage our lead position in the market, in our intellectual capital to drive disciplined underwriting, pricing, and risk selection. I will now turn the call over to Jeff to review the highlights of our financial performance. Jeff?
Jeffrey Farber: Thank you Joe, As previously mentioned, the strengthening of domestic prior-year loss reserves by $174 million had a major impact on our fourth-quarter results leading to a net loss of $14 million or $0.32 per basic share in the fourth quarter 2016 compared with net income of $78 million or$1.76 per diluted share in the prior year quarter. For the year, we reported net income of $155 million or $3.59 per diluted share compared to $332 million or $7.40 per diluted share in 2015. On an after-tax operating income basis, our loss for the quarter was $19.7 million or $0.46 per basic share compared to income of $80.3 million or $1.82 per diluted share in the prior year quarter. For the year, after-tax operating income was $184.4 million or $4.27 per diluted share compared to $280 million or $6.25 per diluted share in 2015. Operating earnings, excluding domestic development for all periods were $94.3 million for the quarter, up from $88.3 million and $337.5 million for the full year compared to $296.8 million in 2015. As Joe mentioned, based on a reserve and business analysis, we selected our best estimates. The estimates reflect our desire to be more conservative given the inherent uncertainty of the reserving process taking into consideration the unfavorable development in a number of recent quarters. Overall, the prior year domestic reserves strengthening of $174 million represents roughly a one point increase in the ultimate loss ratio to each year from 2013 the 2015 and a half point increase to about 2011 and 2012. However, as you would expect, accident years did vary by line. I will now review the impact of the reserve charged by line starting with commercial multi peril and general liability. In commercial multi peril and general liability, prior-year reserve additions of $68.8 million were primarily driven by 2012 to 2015 accident years, related to increased claims severity and litigation costs, concentrated primarily in three major metro areas. The $68.8 million in the aggregate consisted of $43.7 million for commercial multi peril and $25.1 million general liability, the latter is reported in other commercial lines. We also have increased 2016 accident year reserves in commercial multi peril to reflect a higher severity assumption as in prior accident years. As the company had mentioned on previous calls, areas of concern are addressed through pricing and underwriting decisions, in affected geographies and risk classes and through claims initiatives. Despite isolated reserve challenges, our commercial multi peril business continues to be profitable and remains an important part of our small commercial and middle market strategy. We also strengthened the balance sheet by $20.1 million in liability claims made coverages, largely professional and management liability. Because these lines are still immature, growing businesses with a moderate tale we believe they want a higher level of conservatism. This $20.1 million strengthening for claims made together with the $25.1 million of general liability mentioned earlier represents the total $45.2 million of general liability reserve additions. Moving to commercial auto, we added $18.4 million to the 2012 to 2014 accident years. We have seen a substantial moderation and trends in commercial auto bodily injury severity in 2015 and 2016 accident years, which has helped to affirm our view of the most recent ultimate best estimates in this line, however, we increased ultimate loss pics and reserves in the years prior to 2015 due to some continuing claims severity concerns. As a whole, we remain encouraged by our recent progress and are confident in our ability to bring commercial auto to target profitability. Pricing and underwriting actions have been taken here starting several years ago. Our worker's compensation line continues to be very profitable due to its small size account characteristics and relatively low risk profile. Prior year loss emergence has been favorable for several years now leading to our decision to release $32 million of the carried reserves in the fourth quarter. Our AIX program business had reserve increases of $49.6 million relating to years prior to 2015. Surety reserves were strengthened by $37.9 million largely for 2014 and 2015 years as Joe indicated. We needed to strengthen our balance sheet in these lines and we feel comfortable going forward given the underwriting and other actions taken. These domestic reserves strengthening actions together with improved analytics, enhanced claims management, targeted pricing increases and re-underwriting initiatives give us confidence in the quality of our book of business as we move forward to execute on a strategic objectives in 2017. While it is always a challenge when confronted with the need to strengthen reserves, we are pleased with the continued progress of our pricing and underwriting decisions as well as our line of business profitability. The improvement in our domestic loss ratio results over the last four to five years is still quite strong and steady despite the domestic reserve charge. Our annual reserve review process included a review of Chaucer reserves as well. While we had favorable development in the fourth quarter, the balance sheet reserving of Chaucer for 2016 is appropriately conservative and very consistent with the approach taken in years past. I will now move on to a discussion of accident year underwriting results primarily focusing on full year performance by highlighting quarterly details as appropriate. 2016 consolidated accident year combined ratio improved by two points to 95.6%, compared to 97.7% in the prior year. Catastrophe losses representing three points of the accident year combined ratio, down by approximately one point from a year ago aided by benign weather in the U.S. The underlying loss ratio improvement in both Commercial and Personal Lines segments was partially offset by a higher current accident year loss ratio at Chaucer. In Commercial Lines, the accident year loss ratio excluding catastrophes was 56.5% for the year compared to 58% in 2015. The improvement was driven by favorable property loss experience in commercial multi peril as well as stronger accident year performance in auto liability as the past and more recent pricing underwriting and claims initiatives discussed earlier manifested themselves. Within commercial you will notice increases and decreases in underlying lines of the fourth quarter which is the results of adjusting each line to the best estimate for the full year 2016. In Personal Lines, the current accident year loss ratio was 60.1% for the 2016 year, two points better than we reported in 2015. Lowered non-catastrophe weather and earned rate increases in homeowners drove the improvement, while auto results remained relatively consistent with 2015. We continued to see a rise in physical damage and bodily injury severity throughout the year. Our overall auto frequency is slightly below our expectation due to favorable non-catastrophe weather in the beginning of the year. And overall, our rate increases cover the lost trends we are experiencing. Our focus on account business continues to drive the overall profitability in Personal Lines. At Chaucer, we experience elevated large loss activity in the quarter closing the year marked with higher large loss experience compared to recent years. The current accident year loss ratio was up about five points compared the fourth quarter 2015 and up 1.4 points for the full year. Our analysis shows no correlation between losses aside from trade credit activity earlier in the year which has since subsided. Overall, despite declining premium rates across many lines of business we are satisfied with Chaucer's combined ratio for the year of 19.4%, which underscores the value of its specialist expertise, discipline underwriting and risk management culture. Moving onto expenses, overall our expense ratio remained in line with 2015 at 34.5%. In Commercial Lines the expense ratio declined in the fourth quarter from a year ago simply due to the timing of certain expenses. More importantly, the expense ratio declined 40 basis points for the full year in line with our expectations. Personal Lines expenses were up a point over the prior year quarter. For the year Personal Lines is running about a half point higher driven by higher agency commissions associated with increased profits. As expected, incremental investments in technology and new state expansion were evident in the year. Chaucer's expense ratio was 43.9% in the fourth quarter driven by the impact of foreign exchange and increased brokerage commissions. This brought the full-year expense ratio to 40.4% compared to 38.3% in 2015. The increase in expense ratio at Chaucer is largely driven by changes in business mix causing higher brokerage commissions. Moving on to top-line premium results. In the fourth quarter we increased total consolidated net written premiums by 3.4% compared to the prior year quarter, driven by a very strong performance in Personal Lines. Net written premiums and Personal Lines increased 6.7% with solid new business momentum of approximately 30% growth in a healthy retention of 83.8%, as a result of our high quality account centric mix, we achieved rate of 4.1% consistent with the third quarter. In Commercial Lines, we delivered measured net written premium growth of 3.3% for the quarter and increased core retention of 85.3% with new business more than offsetting premiums lost at renewal. We continue to place emphasis on balancing price and retention, maximizing retention on attractive business while improving profitability on lower performing accounts. Overall, pricing increase in small and middle market commercial businesses by 3.4% for the fourth quarter which now tracks slightly below our long-term loss costs assumptions. We are achieving rate in areas most needed and will continue to push profit actions in underperforming pockets of the book. Chaucer net written premiums declined 2.6% in the quarter, a 9.1% for the full year excluding the impact of the exit from U.K. motor business last year. This decline is a consequence of challenging market conditions and thoughtful risk selection. We continue to use reinsurance opportunistically to manage your risk appetite while retaining leadership and influence in our chosen specialty classes. Moving onto investments, our fourth quarter net investment income increased to $74.2 million, up from $70 million in the prior year quarter due to increased operating cash flow and some small unusual items. The underlying performance of the portfolio including new money yields is in line with our expectations and recent trends. For the year, net investment income was in line with 2015 at $279 million, while lower new money yields continue to impact returns. We offset this impact by reinvesting higher operating cash flows into the portfolio. The earned yield on a total portfolio was 3.4% in the quarter and 3.38% for the year, compared to 3.47% in the prior year quarter and 3.44% in 2015. Net unrealized investment gains were approximately $186 million before taxes at the end of the fourth quarter 2016, compared to $101 million at the beginning of the year, and $382 million at the end of the third quarter. The fluctuations are predominantly interest-rate related and has no material impact on the way we manage the portfolio over time. We do not consider unrealized volatility as a significant performance criteria as we typically hold assets to maturity and have a very well laddered portfolio. Cash and investment assets were $8.7 billion at the end of the quarter with fixed income maturities and cash representing 87% of the total. I’ll conclude with remarks on the strength of our capital position. Book value per share was $67.40, up 2% from December 31, 2015. At 21.6% our debt to total capital leverage ratio is comfortably within our target range. From a capital management perspective we return $106 million to shareholders through stock repurchases in 2016, leaving $184 million available for purchase under our current share buyback authorization. We also increased our dividend for the 12th consecutive year, paying $80.4 million to shareholders in 2016. Going forward we will be opportunistic with share repurchases. With our Investor Day coming up in three weeks we will defer our 2017 guidance discussion until then. We will share with you our expectations for items such as growth, combined ratio, expenses, catastrophe assumption, as well as net investment income and our tax rate. However, we have decided to no longer specifically provide annual EPS guidance. Joe and I both believe that property and casualty business doesn't naturally lend itself to the level of precision EPS guidance implies. With that I'll turn the call back to Joe.
Joe Zubretsky: Thank you, Jeff. When we consider the underlying metrics of our business, the quality and volume of new business, renewal retention rates, accident year loss ratios, returns on allocated capital, we see a strong foundation on which to grow. Putting the strengthening of the balance sheet behind us with a necessary step in order to move forward and execute our gross strategy. We will be sharing our strategic thoughts with you at our Investor Day on February 23rd in New York. During this time, we will describe the key tenets of our go forth strategy. One, leveraging the inherent strength of our core agency business by making some modest additional investments to gain market share and more prominent shelf space with our 2280 partners. We believe the first wave of significant growth to be harvested from our solid market position in this channel. Two, expanding and growing our specialty capabilities both domestically and with Chaucer, we can capture more specialty business opportunities within the independent agent channel by modestly expanding our risk appetite, while leveraging Chaucer's capabilities in the U.S. and globally. Three, innovating with new business models and technologies to help our distribution partner succeed in a world in which risk pools, customer preferences and the competitive environment are changing and we will provide our 2017 guidance and long-term financial targets. With that, we will now open the line for your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Charles Sebaski from BMO Capital Markets. Please proceed.
Charles Sebaski: Good morning.
Jeffrey Farber: Good morning.
Charles Sebaski: Thanks for all the detail and color on the reserve charge and action. It was helpful. I guess going forward what I’d like to try to better understand is in the commercial segment, looking forward into 2017 on an accident year basis. And so, if I look at the fourth quarter versus the full year 2016, fourth quarter was a little bit higher than full year 2016 and given some of your commentary on loss trend being a little bit higher than earned rate, is fourth quarter accident year a better proxy to think about 2017 coming out? Or do you think full year 2016 is – on how we think about or how you think that business is going to evolve over the next year?
Joe Zubretsky: Joe here. Really you need to look at the full year. So let me take you through how we look at this. We looked at the discrete portfolios of business and we try to understand the underlying trends that were causing us to increase our loss estimates. As soon as we were done, being comfortable with our loss reserve picks for 2015 and prior, we immediately begin to look at current accident year. And what you see in the fourth quarter, take the CMP line for instance, you’ll see a significant increase in the fourth quarter, because we took a new view of the liability experience in our CMP portfolio for the full accident year. So, even though the CMP loss ratio is down 100 basis points year-over-year on a full year basis, because the property component is outperforming and the liability component is underperforming, we really took a full year view in the fourth quarter for 2016 based on what we learned on 2015 and prior.
Charles Sebaski: Okay. So that fourth quarter kind of includes your true-up for the calendar year 2016?
Joe Zubretsky: That is correct.
Charles Sebaski: Excellent. That is helpful. Thanks. I guess the other question I had was in personal and an auto trend that you’re seeing there, it seems like things are trending well and there is growth going, but you don't see anything that’s concerning about BI trend in personal auto?
Joe Zubretsky: No, not at all. There’s a lot to like in the Personal Lines story for the quarter and the full year. You see the 5.2% top-line growth. We’re able to put four points of rate in the market which is comfortably above loss trend. Our discount is growing again. And our retention rates are 83% and rising, so there’s a lot to like there and no, we haven't seen the increase in severity probably due to demographic mix and geographic mix of our book, compared to some of our competitors. But we have seen a slight uptick in severity on what the physical damage component and the liability component which is fully reflected in our results.
Charles Sebaski: Okay. And I guess just finally capital management going forward into 2017, you’ve taken these actions for the legacy years and get back onto a strong earnings story. What’s the thought process around capital management going into 2017?
Joe Zubretsky: I’ll kick it to Jeff in a second, but as we said, Jeff and I share a common view on this. We like a balanced approach to capital deployment. We know that delivering superior returns and a superior evaluation is going to require steady and measured book value per share growth, and ROE production leveraging our fixed expense base and increasing our profitability and leveraging our expense base to produce a better ROE, but we’re big fans of the balanced deployment of capital, share buybacks opportunistically, and to maintain a good competitive dividend.
Jeffrey Farber: Just to amplify a bit, obviously a balanced approach couldn't agree more. Deploying capital in our businesses is obviously important, and we are going to allocate capital to our businesses where we think it has the most appropriate best returns, and then thinking balance basis between dividends and stock buybacks and other uses will be appropriate.
Charles Sebaski: Great. Thanks a lot for all the answers and good luck in 2017.
Jeffrey Farber: Thanks, Chuck.
Joe Zubretsky: Thank you.
Operator: Your next question comes from Paul Newsome from Sandler O’Neill. Please proceed.
Paul Newsome: I just want to make sure that I'm putting pen to paper, that I am doing this right. Just to reiterate that if I’m thinking of the perspective accident year results for the commercial and personal Lines unit, is the full year number that you reported in 2016 is the right base per say, to think what the profitability of the book is. Is that fair?
Jeffrey Farber: Yes. That is the right way of looking at it.
Paul Newsome: Okay. Even thought there’s a bit of a true-up in the fourth quarter for all these reserve issues?
Joe Zubretsky: Yes. As I mentioned previously Paul, anything we learned about our business as a result of the deep dive into the reserve in the business reviews, we then took into the 2016 accident year and updated our assumptions embedded in the accident year loss pick. And we did that in the fourth quarter, so the fourth quarter tended to be a little choppy and lumpy, but the full-year view is the correct way to look at it.
Paul Newsome: Is that the same way I should – should I think about the same way on the Chaucer side? Was there anything that would have changed the accident year pick given the process that you went through?
Joe Zubretsky: No. We maintain the same reserving methodology and process at Chaucer given the nature of the business, the complexity, the risk it writes, the high excess layers in which it operates. It's always prudent to hold a current conservative, current accident year loss pick and let it runoff of favourably, and we did not disrupt that methodology at all. The choppiness you saw was basically large man-made losses, which was offset by incredibly benign global catastrophe environment.
Paul Newsome: Great. Thank you very much.
Operator: Your next question comes from Larry Greenberg [ph]. Please proceed, sir.
Unidentified Analyst: Hi. Thank you very much. So just a couple of questions on the reserving study. So, will anything change either conceptually or quantitatively in your reserving framework or processes going forward? And then curious, I assume you use a range of estimates and then a best estimate within that. And is that process similar for both Chaucer and the domestic companies? And would the best estimate be set at a similar point or given the nature of Chaucer's business. Does that require a more conservative pick?
Joe Zubretsky: I’ll kick at the Jeff in a moment, but I would characterize our U.S. domestic reserving process as a best estimate with a conservative bias. Reserves are going to runoff favorably or unfavourably, we’d always like to see them run off favourably. And Jeff and I share that view. And Chaucer, it’s really a different business model. It’s more of the nature of the business. Jeff I don’t know if you want to expand on that.
Jeffrey Farber: So just to start off, Larry, we took a really thorough process in the fourth quarter which culminated quarterly process we do, and we would anticipate continuing that process, continuing the thoroughness, continuing the conservatism in which we have built that up. As we think about the Chaucer reserves, we largely didn't change the process that we had always gone through. So we've always been appropriately conservative with our best estimate there. We made some changes in how we thought about domestic, but we’re going to really continue with that model.
Unidentified Analyst: Okay. Thank you. And Joe, you mentioned investing in and leveraging your strong agency position. Will this put pressure on domestic expense ratios in 2017?
Joe Zubretsky: No. I think we have the investment capacity to do what we need to do from a channel perspective, a product perspective etcetera. There is still a tremendous amount of expense leverage as we grow the business across our agency plant, which as you know is a largely fixed cost and pretty expensive to run, but there's a lot of headroom there in leveraging a fixed expense base, so no, I don't view any upward pressure on expense ratio here in the U.S.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Meyer Shields from KBW. Please proceed sir.
Meyer Shields: Thanks. Good morning and congratulations on a phenomenal reserving process and description thereof. That was tremendously helpful.
Jeffrey Farber: Thanks Meyer
Meyer Shields: Within Chaucer's is there any way of sort of quantifying the benefit of low global cats against the above average large losses? Do those washout is one of those a bigger provision in the beginning of the year.
Jack Roche: I’ll kick it to Jeff and maybe on the Chaucer guys, but you know Jack here. Basically with the count profile that they write, we sort of target roughly 10% of premium on an annual basis for catastrophes. And this year it came in at less than 1%. The target combined ratio for the business is 95. We've always said that we expect to deliver that with better and as you know cumulatively since we’ve owned the property, it has produced cumulatively a 90% combined ratio. So, we're happy with the profitability of the business. The cat environment certainly helped this year. Business has an inherent volatility and quarter to quarter it will produce that volatility, Jeff, I don’t know if you have anything to add to that.
Jeffrey Farber: Yes. I think as we’ve spoken about before the previous five years were really low attritional and large losses in the business of Chaucer and in this year particular we had some higher losses and it just sort of as a reversion to the mean kind of a concept and the cats will come when they come, but somewhere south of 95% I think is a good overall combined ratio. It was 90% this year and it has been 90% or lower in other years, and I think it's a is going to move around a little bit but it provides for a nice model. Johan?
Johan Slabber: Yes. Just to add that there’s no correlation between the cat risks and the large loss account. We do write risk towards the catastrophe line. So, the fact that we've had very low activity on that side, but yet a higher number of large losses, just to point out that the actual number of or the quantum of large losses paid out in the four quarter, reserved in the fourth quarter is almost the exact same numbers for 12 running quarter average is. So it’s not so it is not that much higher than now history shows.
Meyer Shields: Okay. That's very helpful. Second also in Chaucer, as you increase the reinsurance purchases, should that have a significant impact on I guess the expense ratio for Chaucer next year?
Joe Zubretsky: I’ll kick that Johan. Go ahead Johan.
Johan Slabber: Yes. So you’re in the fact that the higher the reinsurance purchasing is, low the net premium will be, and that would put pressure on expense ratio itself. We have in 2016 actually reduced expenses, but you could probably expect which we normally targeted the 45% expense ratio, but that’s going to be subject to volatility in the foreign exchange rate.
Meyer Shields: Okay. That makes a lot of sense. And then finally within Personal Lines, your experience has been a lot better than some major competitors who are raising rates dramatically. Should we expect that to accelerate the growth rate, I’m thinking either auto or packaged auto and home in 2017?
Joe Zubretsky: I’m going to kick it to Dick Lavey for the answer.
Richard Lavey: Yes. So, as you know, we’ve been really kind of thoughtful and measured our rate strategy and frankly have been ahead of the market by a point or two varying by line. So, we’re going to continue that strategy and we do see as our competition takes more rate that we may become more competitive on a relative basis for that very state-by-state, but generally speaking we also will take some additional rate opportunistically in certain states. So we have sort of wings here and there. But generally the net of it will be that you should expect kind of mid single-digit growth on a go forward basis.
Meyer Shields: Okay. Thank you very for your answers.
Operator: I would now like to turn over to Oksana for closing remarks. Please proceed.
Oksana Lukasheva: Thank you very much for your participation on the call today. And we are looking forward to speaking with you next quarter.